Operator: Good morning, ladies and gentlemen. Thank you for standing by. I would like to welcome everyone to the Canaccord Genuity Group, Inc. Fiscal 2021 Fourth Quarter and Year End Results Conference Call. All lines have been placed on mute to prevent any background noise. After the speakers’ remarks, there will be a question-and-answer session. [Operator Instructions] As a reminder, this conference call is being broadcast live online and recorded. I would now like to turn the conference call over to Mr. Dan Daviau, President and CEO. Please go ahead Mr. Daviau.
Dan Daviau: Thank you, operator and thanks for everyone joining us for today’s call. As always, I am joined by Don MacFayden, our Chief Financial Officer. Following the overview of our fourth quarter and fiscal 2021 results, both Don and I would be pleased to answer questions from analysts and institutional investors. During today’s discussion, we will refer to our earnings release and MD&A. Copies of which have been made available for download on SEDAR and on the Investor Relations section of our website at cgf.com. Within our update, certain reported information has been adjusted to exclude significant items in order to provide a transparent and comparative view of our operating performance. These adjusted items are non-IFRS financial measures. Please refer to our notice regarding forward-looking statements and the description of non-IFRS measures that appears on Page 1 of our Investor Relations presentation and also in our MD&A. I expect that you have all had an opportunity to review our fourth quarter and full fiscal year disclosures that were made available last night. Our fiscal fourth quarter was our strongest on record by a wide margin. And this contributed to an already exceptional fiscal year performance. During the 3-month period, we earned record firm-wide revenue of $692 million, a year-over-year increase of 117%. This brought our full fiscal year revenue to $2 billion, up 63% when compared to last year, an all-time record for Canaccord Genuity. While broader market tailwind supported increased demand for small and mid-cap equities in our core focus sectors, our results are a testament to the power of our platform and the incredible efforts put forth by our employees at every level of the organization. I really could not be prouder of our team of over 2,300 people who have worked tirelessly from the remote offices around the world to support our clients, while never losing focus of our shared priorities. Our fourth quarter and fiscal year results clearly demonstrate that we are operating at a higher level than any period in our history when measured by revenue, net income, profit margins, earnings per share, and employee productivity. The business we have built is clearly demonstrating that we will have higher highs in harder markets as well as higher lows during softer markets. Excluding significant items, pre-tax net income for the fourth fiscal quarter amounted to $183 million, an amount that exceeds all prior full fiscal year results. This translates to diluted earnings per share of $1.20 for the 3-month period, bringing in our fiscal 2021 diluted EPS to $2.48, our highest on record. Turning to expenses, we benefited from the enhanced cost savings driven by the extended remote work environment and the restrictions that have placed on travel and entertainment over the fiscal year. That said, we have also maintained a strong focus on the efficiencies and cost discipline measures that we implemented prior to the pandemic. Despite the substantially higher levels of business activity throughout the year on an adjusted basis, our non-compensation expense as a percentage of revenue were 19% for the fiscal year, a reduction of 10.6 percentage points from last year. Looking forward, we expect to maintain many of the efficiencies that we incorporated over the year as more of our employees and clients return to offices. Our adjusted firm-wide compensation ratio was 57% for the fourth fiscal quarter, a decrease of 5.1 percentage points compared to last year, reflecting the increase in revenue relative to fixed staff costs. Our compensation ratio for the fiscal year was 61.6%, which reflects the impact of certain share-based compensation programs, which are affected by higher share price, including performance share units granted in prior periods. I will also note that our effective tax rate for the fiscal year was 27.1% compared to 13.5% last year. Last year’s rate was exceptionally low as it reflected the recognition of tax benefits from carry-forwards in prior years. This year’s rate reflects the increased profitability earned in our higher tax rate jurisdictions. The dynamic nature of capital markets requires us to maintain a healthy level of capital flexibility to support our business activities. And this was especially important in a year where we experienced record levels of underwriting and trading activity. Having said that, we are committed to deploying capital in ways that will provide increased returns for our shareholders. I am pleased to report that our Board of Directors has approved a quarterly common share dividend of $0.075, bringing our full year dividend to $0.25, an increase of 25% from last year. During the fourth quarter, we also announced the planned redemption of our unsecured senior subordinated debentures, which were set to mature in 2023. This has resulted in a reduction of our average fully diluted shares to 108 million for the current year, down from an average of 128 million during our prior fiscal year. In all, our fiscal 2021 capital deployment initiatives will result in a return of $192 million to CF shareholders and debenture holders. With that, let’s turn to the performance of our operating businesses. Our global capital markets business earned revenue of $1.3 billion for the fiscal year. Our U.S., Canadian and Australian businesses all earned record revenues, with year-over-year increases of 69%, 117% and 376% respectively. Investment banking accounted for half of our total capital markets revenue for the fiscal year. We participated in 713 transactions globally, raising proceeds of $86 billion for growth companies during the 12-month period. The breadth of our capital markets capabilities, including mid-market IPOs, follow-ons and SPACs positioned us to capture a meaningful share of the stronger levels of market issuance over the 12-month period, with the fourth quarter coming in as our strongest on record for investment banking activities. During the 3-month period, our investment banking division achieved revenue of $266 million, almost 7x the revenue earned in the same period a year ago. And this was driven by the remarkable new issue environment. Volatile markets led to a reduction in advisory activities over the first half of the fiscal year, with the third and fourth quarters presented an opportunity to deliver on a very strong pipeline, bringing our full fiscal year revenue from the segment to $193 million just 6% lower than the record set in our previous fiscal year. Fourth quarter advisory revenues amounted to $65 million, the second highest quarterly results on record. The strongest contributors to advisory revenues were our U.S. and Canadian businesses for both the 3 and 12-month periods. Based on the existing pipeline, we continue to see robust levels of M&A activity as we begin our new fiscal year. Our global trading teams outperformed throughout the fiscal year, but most notably in the fourth quarter. Trading revenue for the 3-month period reached $87 million, an increase of 148 percentage points compared to the same period a year ago. Firm-wide trading revenue for the full fiscal year amounted to $246 million, a year-over-year of 126%. The primary driver of this performance was our U.S. desk through our International Equities Group, which contributed revenue of $75 million for the fourth quarter and $210 million for the fiscal year, increases of 98% and 109% respectively. Our Canadian trading team also delivered outstanding performance, with record annual revenue of $23 million. Firm-wide revenue from our commission and fee activities improved by 39% year-over-year to $212 million. We attribute this increase to the outstanding efforts by all our teams who have worked hard to increase our buy side commission wallet share as well as the very active trading environment, which drove high volume and volatility. Over the year, CG pivoted quickly to deliver innovative opportunities for our clients in a completely virtual environment, including corporate access and conferences which grew record attendance, as well as timely and thematic research pieces from our award winning analysts and strategists. The outstanding performance delivered by all segments of our global capital market division contributed to record profitability for both the fourth quarter and the full fiscal year. Excluding significant items, the pre-tax net income contribution from our combined capital markets business amounted to $155 million for the fourth quarter and $325 million for the full fiscal year, substantial increases from the $15 million and the $60 million recorded in the comparable periods last year. Excluding significant items, pre-tax profit margins in our capital market segment increased over each of the four fiscal quarters, reaching a peak of 32% in the fourth quarter and we ended the fiscal year with a pre-tax profit margin of 24.8%. While margins in the segment will fluctuate with the pace of activities in our core sectors and geographies, we are committed to generating a greater proportion of our long-term earnings from higher margin activities, such as advisory, in addition to the development of ancillary products and services that complement our mid-market offering. Throughout the year, our global wealth management business also continued to deliver impressive growth. At the end of the fiscal year, firm-wide client assets grew to a record of $89 billion, an increase of 46% compared to the same period a year ago. Revenue earned by this segment amounted to $199 million for the fourth quarter and $663 million for the fiscal year, increases of 44% and 29% respectively. Excluding significant items, our combined wealth management businesses contributed pre-tax net income of $45 million in the fourth quarter and $135 million for the fiscal year representing year-over-year increases of 170% and 70%. An outstanding performance was achieved by our Canadian wealth business, which reported total client assets of $32 billion, an increase of $14 billion or 75% compared to the end of the previous fiscal year. Excluding significant items, this business achieved record pre-tax profit margins of almost 22% in the fourth fiscal quarter with pre-tax net income of $23 million for the 3-month period bring the full year adjusted pre-tax net income contribution to $63 million. The excellent partnership between our capital markets and wealth management businesses in Canada created an opportunity for investment advisors to participate in the robust environment for new issue activity. This drove 171% year-over-year increase in the investment banking revenue earned by this division to $107 million for the fiscal year. The average book per IA team grew by 75% over fiscal 2021 to $222 million. This team also achieved impressive growth in its discretionary assets under management, which grew by 57% compared to last year. The advantages and opportunities provided by our platform have been consistently evidenced in the growth of this business. Multiple consecutive years of growth and profitability and critical investments to advance our technology offering have continued to be instrumental in attracting established IA teams to the CG platform. As you know, during this past quarter, we reached out to the board of RF Capital in an effort to discuss a possible combination of our Canadian wealth businesses. While we continue to believe that the business combination with RF Capital would provide a compelling value creation opportunity for the employees and shareholders of both businesses, we have made a decision not to continue in our efforts to try to engage with the RF Capital’s Board of Directors. We will continue to focus on our recruiting strategy in organic growth opportunities, which have outpaced the broader industry. Our wealth business in the UK and Crown Dependencies has been a steady contributor of growth and profitability through a range of market environments, and fiscal 2021 was no exception. Client assets in this business increased 31% year-over-year to $52 billion. Excluding significant items fourth quarter pre-tax net income grew to a record of $19 million, bringing the full year contribution to $65 million, an increase of 15% from the prior year. During the past quarter, we were also pleased to announce a significant investment from HPS, which adds a partner to provide flexibility and options for funding the future growth of this business at the regional level. We expect that this investment will close in the next several weeks. In April, we announced the acquisition of the investment management business of Adam & Company, marking our entry to the Scottish market with a deeply established brand and client assets of $2.9 billion. The acquisition is expected to be accretive to our adjusted earnings. It is on track to close around the end of our second fiscal quarter. And finally, managed assets in our Australian wealth business increased by 76% year-over-year to $4.2 billion as CG gains momentum as the premier brand for small and mid-cap investors in the region. Fourth quarter revenue in this business increased by 34% year-over-year to $17 million, bringing full year revenue to $62 million from $24 million in the prior year, which included about five months of activity following the acquisition of Patterson in October 2019. In addition of Patersons Securities last year, which we purchased for $23 million significantly expanded our Australian wealth platform. This business has continued to be a positive contributor of adjusted pre-tax net income, which amounted to $7.3 million for the fiscal year. The strong performance of this business is also driving compelling recruiting opportunities in key Australian markets. Looking ahead, we will continue to invest with discipline in the growth of all our wealth management businesses, which are fundamental to our strategy of enhancing our long-term earnings potential. We will be opportunistic in our approach to capital deployment with a disciplined focus on initiatives to increase the long-term value of our business, while upholding our commitment of returning excess capital to our shareholders. While several factors point towards the continuance of the supportive marketplace for growth and value stocks in our core focus sectors, we expect that some of these tailwinds could moderate in the coming quarters and that activity will return to previous levels. Having said that, we are very pleased to be starting fiscal 2022 with a stronger wealth management franchise and fewer common shares on a fully diluted basis. Across our operations, we have a market leading franchise in our core sectors and geographies and compelling prospects for expanding our product capabilities. We continue to see strong engagement from our institutional and retail clients and have a solid pipeline of ECM and advisory mandates. I am confident that the strategic decisions that we have made to transform our business mix, coupled with a disciplined investments in our growth and relentless dedication of our teams will continue to deliver outstanding results for our shareholders. Thank you for your continued support. With that, Don and I will be pleased to take your questions. Operator, please open the lines.
Operator: [Operator Instructions] Your first question comes from Rob Goff from Echelon. Your line is open.
Dan Daviau: Thank you, Rob.
Rob Goff: Thank you. Good morning, congratulations on the quarter and the year. It’s just – it’s incredible performance.
Dan Daviau: Thanks so much.
Rob Goff: You made some references to it. This may sound like a bit of a macro question. But given all that has happened over the last quarter or year, can you discuss how that may have impacted your capital allocation stance be it defense, offense and priorities, be it capital markets, be it wealth management?
Dan Daviau: I will answer at the most broad level. It’s a great question, Rob. But I will answer at the most broad level and maybe turn it over to Don to be a little bit more specific on our capital. We have obviously made a lot of money. We have made a lot of net income. And we have made a lot of cash. And you can see that in our results. We have obviously been through a very buoyant capital markets period where we use our capital to support our underwriting and trading activity. And you can see the results of that. That being said, our fundamental strategy has not changed. We are going to deploy our excess capital to grow our wealth business, that hasn’t changed. We are going to continue to do that. And we have got opportunities throughout the globe to grow our wealth business. And to the extent that we don’t have an intelligent place to deploy our capital with excess returns, we are going to return it to shareholders. You have seen an increase in our dividend twice this year. You have seen a huge buyback of our convert. We continue to buyback our stock. And that activity hasn’t changed, either, our fundamental priorities, and we just got through our Board meeting the other day, have not changed from a capital allocation perspective. Don, do you want to provide other details around excess capital and the like?
Don MacFayden: Well, I think what you have articulated Dan, is exactly the strategy and the plan that we have first specifically articulated a couple of years ago, and we have sort of progressed along that plan. And as you said, nothing has really changed. The capital, derived from profits, obviously resides in the capital U.S., or in Canada and in U.S. and Australia. So, we have strategies to move those – that capital around the globe, so to speak, in areas where it’s most opportunistic. But as Dan said, the strategy and the plan is to opportunistically deploy capital towards growing the wealth business and then excess capital through dividends and share buybacks.
Rob Goff: Thank you. And if I may a follow-up, this is a little bit more micro. Could you discuss some of the factors behind the $87 million in principal trading to just the international platform aspect of it and the sustainability of that? Thank you.
Dan Daviau: Yes. That market, probably we have got lots of what we call principal trading books. They are not particularly as you know Rob, risk taking desks, they are principal trading, because they are making markets and various things. The largest driver for that is in the United States. And that is through our International Equity Group, a group that’s been together for literally decades and been with us for over a decade. It was an incredibly active market. They tend to participate. They tend to do very well, when there is volatility in the market. And when there is large retail flows, our biggest customers in that business are large retail shops in the U.S. and we aggregate and trade their international flows and their over the counter flows. Like you have seen in Robin Hood and other situations like that you have seen immense amount of retail interest, we have benefited from that. Obviously, throughout, that group has gotten bigger and taken market share as well. So, some of those gains are in our view relatively permanent from a market share perspective. But that business has continued to grow materially for the past 8 quarters from about as low as $20 million in revenue a quarter to as much as last quarter $75 million. So, you have seen the benefits of that plus the expansions that we have done in that business and some of our other desks. So, it really is a function of the retail flow and the volatility. At the end of the day, is it going to be at that level in perpetuity, I doubt it, but it’s going to be elevator from where you may have seen it 6 quarters ago or 4 quarters ago, it will continue to operate at an elevated pace.
Rob Goff: Great. Thank you very much. I will jump back in queue.
Dan Daviau: Thanks, Rob.
Operator: And your next question will come from Jeff Fenwick from Cormark Securities. Your line is open.
Jeff Fenwick: Hi, good morning, everybody.
Dan Daviau: Good morning Jeff.
Jeff Fenwick: So Dan, why don’t we just continue on the back capital utilization team there? As you stated, you are not going to continue to pursue our capital for now. So, what’s the plan for Canada, you have had a lot of success, just poaching advisor teams and I assume that’s probably your focus for now. But do you think there is some other, maybe there is some other independents out there, I know it’s not a long list, but I assume you have been perhaps chatting with them as well. And is that something that might be of interest to do a tuck-in with one of those groups?
Dan Daviau: I mean, we have multiple paths for growth for our Canadian wealth business. Obviously, you have seen our Canadian wealth business. You have seen what it’s done. Average book per advisor is $222 million, up 18% over the last 5 years, each and every year compound annual growth of 18%, that book is over $32 billion. We have made over $65 million pre-tax from that business, is a very profitable, successful business. And I don’t need to remind you, this is a business that broke even on a good day, 4 years ago. So, it’s a very, very profitable business for us. We think we have got unique advantages in that business. We have invested an immense amount of technology in that business. So, that’s fantastic. We obviously have married that business to our capital markets business. And there is an incredible amount of synergies in that. And we feel that there is a great offer, and we own our back office. So, we feel that there is a great amount of things we can do in our wealth business. Yes, we can continue to recruit advisors. And we will and we have a reasonably active pipeline in that respect. We have spent $135 million on recruiting advisors. We have invested $350 million in growing our wealth platform globally. So, we have continued to commit a lot of capital there. But there is other paths for growth as well. You mentioned acquisitions, and clearly we would be in the market for those. But there is other alternative wealth paths that we need to consider both at the high end and the low end that we are going to continue to pursue. There is other ways to deliver wealth advice that we are going to continue to pursue. So, I am being a little opaque in my statements intentionally, Jeff, but rest assured, we have five or six different paths to grow our Canadian wealth business. At the end of the day, we thought Richardson’s would be a great acquisition. We thought it would be a great merger partner. We think there is huge synergies in doing the business. I mean, when we approached them initially, our stock was $11 or $11.50, our stock is clearly substantially higher than that. We can just earn better returns by ourselves, to be honest and overreaching and paying more for an acquisition than what would make sense. So, that wasn’t an exact answer to your question, but I think it’s the best I can give you at this stage, Jeff.
Jeff Fenwick: That makes sense. And maybe one other point here, you continue to talk about building a greater contribution of fee based revenue. Clearly, the capital markets activity has helped you – help drive that performance this year with the condition revenue. But how do you get down the path further on more of a fee based level and the Canadian group there, I mean it’s not an easy thing to shift process over our advisors over to different models? I mean, is this a long-term goal or how do you head down that path in Canada?
Dan Daviau: Yes, great question. I would make a couple of comments. Number one, in the current environment, you correctly identified, I mean we did $100 million, almost a third of our overall revenue was deal based revenue or new issue based revenue in this environment. So obviously, when you look at the overall shift between fee based and not fee based, you are going to see a dip in this particular year because of the immense amount of new issue activity. But the vast majority of the advisors that we brought onboard and remember we brought in 46 teams, now we are 47 teams of advisors. The vast majority of them are fee based advisors. So, there is a just a natural evolution as we bring on people towards the fee based advisory system. The other point to make is in the context of a pretty active new issue market and a pretty active and improving small cap market, most of our – most senior advisors are very, very well versed in kind of taking chips off the table. And by that, I mean, when you have made a lot of money in the market, appeal a significant portion of your clients’ assets into something that’s a lot more stable, arguably fee-based arguably managed and that’s a trend that we certainly encourage and support. So, I think you are going to continue to see the growth of fee-based assets. Now, as a percentage of our overall revenue, you haven’t seen it. But certainly from absolute dollar perspective we have seen huge growth in our fee-based assets. And that’s not going to change. We are going to continue to improve that and there is program is in place in our entire wealth platform to encourage that. Another point I would make is we do have a global wealth platform outside of Canada we are obviously using the best practices in both the UK and Australia to encourage more fee-based assets globally.
Jeff Fenwick: Okay. And maybe one last one on the wealth side of things, you have done a great job of building at the UK. Australia is now, seems to be maturing as a business and you have expanded there. Have you ever thought about looking safe at the border, the one area where you haven’t done anything?
Dan Daviau: Yes. I mean, we have thought about it. We are not doing it. You and I think have talked about this, Jeff. I just don’t think we are big enough, number one to do it. And number two, I don’t see the synergies in the marriage between having a strong wealth platform in the U.S. and a strong capital markets business in the U.S. We have got an incredibly profitable capital markets platform, it is our highest revenue business until the overperformance in Canada this year, it was our most profitable capital markets business. And we do that all without retail, when we look at our direct competitors in the U.S. and most of them do not have wealth platforms, either. You don’t really need a wealth platform to beat and exceed in the U.S. capital market space that tends not to be a lot of synergies between the two businesses. So, it’s not a strategic priority. I will never say never, but it’s not on the top list of five strategic priorities in terms of things we are thinking about at this stage.
Jeff Fenwick: Okay. And then maybe one quick one here, I mean, we are now well into your second or sorry, your first quarter – fiscal quarter this year and second calendar quarter. I mean, you mentioned momentum maybe tapering a bit here, but it seems like still very strong so far year-to-date. So, I know it’s always hard to read the tealeaves, but it seems like momentum has continued to help you out here into the sort of middle part of 2021. Any commentary on what you can see?
Dan Daviau: Yes. I mean, we obviously have very good visibility around our M&A pipeline. And I think I have made the comment in our prepared remarks that we continue to see a pretty active M&A market. Our Q4 was our second highest M&A quarter on record. And we continue to see a pretty good pipeline of executing mandates. Both our U.S. and our Canadian businesses from an M&A perspective were up quarter-over-quarter, year-over-year. The only business that was really down was our UK M&A business. So, we continue to see a pretty active M&A pipeline going into this year. From a new issue perspective, you have as much visibility quite frankly as I have yet. The comment that we see it tapering is meant to be more of a future comment than a comment that we are seeing in the market today. We continue to launch IPOs. We continue to launch boss [ph] deals. We continue to launch marketed transactions throughout our entire global platform. So, that continues to be an incredibly busy environment. I guess the point I was trying to allude to when I say it softens. I mean, we did $1.3 billion in capital markets revenue. We did almost $650 million, almost half of that in new issue revenue. At the end of this year, do I see us doing $650 million of new issue revenue again. I’d love that to happen. I just realistically don’t see that happening as we get later in the year and this market recovery kind of peters out a little bit.
Jeff Fenwick: Great. Okay, thanks for that. I’ll re-queue.
Operator: And your next question comes from Graham Ryding from TD Securities. Your line is open.
Graham Ryding: Hi, good morning.
Dan Daviau: Hi, Graham. How are you?
Graham Ryding: Good, thanks. Good growth in the Canadian wealth management division in the quarter. Was that in part related to some recruitment anyway? Was that a factor? Was that just net flows that was driving strong growth quarter-over-quarter?
Don MacFayden: Hi, Graham. It’s Don. Yes, I think it’s a combination of all those things. I think the – we are seeing the benefits from the recruiting activity over the years. And we see that a lot in the commissions and fees revenue. But also the new issue revenue in the ECM activity through our wealth advisors and their client base was also a tremendous contributor to the Q4 activity and for the activity in the year. And you can see that sort of tracking in parallel to the ECM activity in our Canadian capital markets business.
Dan Daviau: Yes, Graham, when you look at our commission and fee line, I think that gives you a pretty good representation of asset growth, whether it be market or asset growth or hiring asset growth and that’s up from $430 million to roughly $522 million year-over-year.
Graham Ryding: Yes. Okay, fair enough. And then how about on the UK side, the growth was, I would say, more modest this quarter compared to what we have seen in the past, were there any sort of advisor or client attrition there or they call it well set?
Don MacFayden: I think, Graham, the UK is highly fee-based revenue in terms of its revenue base. And at the start of this year, remember asset values were depressed quite significantly at March 2020 with the turmoil in the market at that particular point in time and it took several months for that to recover. So during the first part of the year, the first half of the year, revenue was sort of somewhat depressed or was reduced because of the lower client asset values and the fee-based revenue derived from that it picked up during the course of the year as asset recoveries, as asset levels recovered and we got back to levels that started to exceed where we were prior to the downward after last year.
Dan Daviau: And Graham, I know you know this, but as interest rates kind of came down throughout the course of the year, we probably lost about $6 million in revenue year-over-year from lower interest rates in that market and that would have impacted our overall revenue as well.
Graham Ryding: Okay, fair enough. I was more referring to the asset growth quarter-over-quarter, it seems like the lowest, but that looks fine. Maybe I could use that theme to focus on Adams & Co. the acquisition that I think is closing shortly. Is there – how…
Dan Daviau: September.
Graham Ryding: September. Okay, thanks. How does it compare to your existing platform? Is there anything unique from an operational or financial perspective or is it fairly consistent with what you have got already?
Don MacFayden: Yes, incredibly low risk consistent acquisition from our perspective, they are on the same back office systems as we are on. It’s effectively an asset deal, not a company deal. We are bringing on the people in the assets as opposed to a whole company with related liabilities. So, it’s very, very easy integration, very, very easy transition. The only thing unique about it, which is obviously why we want it as it gets us into the Scottish marketplace, which historically we haven’t been in. So, it gives us a strong foothold there with a fantastic brand to kind of expand into that marketplace, all discretionary assets obviously.
Graham Ryding: Okay. Understood. And then you mentioned excess capital, how are you measuring that, I think about the proceeds that are coming through from the HPS deal and then you are going to be paying off your convertible? And then you have got this acquisition of Adams & Co after factoring all those sort of pieces. Can you – is there anything you can quantify in terms of how much excess capital you think you would be sitting on?
Don MacFayden: Graham, I think the – as we have always said, the excess capital is really a function of the business activity and the business activity levels. Capital and profits is deployed in the business to support underwriting activity, trading activity, client activity. So, as business gets really active, capital is utilized to do that just to support that activity. And as business moderates, then capital gets freed up, because it’s not required to support an active underwriting calendar or busy trading desks. So, we always – we would always maintain a buffer in the healthy capital levels to support renewed activity levels as that ebbs and flows. But as we have always said, to support the business and acquisitions such as Adam & Co and then excess capital through share buybacks. And a strategy always has been to maintain a consistent but growing dividend pace.
Dan Daviau: Yes. And just a couple of things, number one, as you think about growth in our UK wealth business or UK and Crown Dependency wealth business, Adams & Co will probably be funded by our existing bank facility there. We are probably not going to require our own capital for that. And even future acquisitions, for the most part, remember, we do have a partner in that business now. And the whole concept of developing a partner in that business was number one to give us capital back at the parent level to pursue things like buying back, they convert and other return of capital to shareholders, but also it gave us access to a higher currency to facilitate acquisitions in that market. So, although we certainly have the right to continue to write checks to support that business, we also have a partner that has a desire to put out more capital. So we will have to see how that plays out. Not on Adams & Co., because it’s relatively bite size, but maybe potentially on future acquisitions in that market. We don’t see that business requiring parent co capital for the foreseeable future to grow it.
Graham Ryding: Okay, understood. And my last one if I could just development costs in the quarter, there was some increases in the capital markets division and also within the corporate division, what does that relate to? And I guess overall, is this a reasonable run-rate for development costs on a consolidated basis?
Don MacFayden: Development – yes, I mean, development costs, it will naturally be somewhat bumpy. So, it’s sort of hard to look at it quarter-over-quarter. I think we saw some technology initiatives flow through the development cost line as well as new hire acquisition costs related to new hires and recruiting activity also flows through that particular line. So, it’s not sort of singly one particular event, it’s just sort of a combination of things that ebb and happen flow from quarter-over-quarter, but technology and new hires principally.
Graham Ryding: Okay. Okay, that’s helpful. Thank you.
Operator: This bring us to the end of our Q&A session today. I would like to turn the call over to Mr. Dan Daviau for closing remarks.
Dan Daviau: Thanks, operator and thank you everybody for joining this call today. It’s obviously a very exciting time for our company and quite frankly for our overall industry. This is our year end result. So, we will put out results again in August, look forward to speaking to you all again then. And for that, we will see you soon and we obviously have an Investor Day later today. So, operator, if you can close the lines, I’d appreciate it.
Operator: Okay. Ladies and gentlemen, this concludes the call for today. Thank you for participating. Please disconnect your lines.